Operator: Ladies and gentlemen, thank you for holding, and welcome to the Wesfarmers 2021 Full Year Results Briefing. [Operator Instructions]. This call is also being webcast live on the Wesfarmers' website and can be accessed from the home page of wesfarmers.com.au. But I'll now hand the call over to the Managing Director of Wesfarmers' Limited, Mr. Rob Scott. Thank you. And please go ahead.
Robert Scott: Thanks very much, and hello, everyone. Welcome to the Wesfarmers 2021 full year result briefing. I'm joined today on the call with our divisional managing directors and our CFO, Anthony Gianotti. To begin, I'll provide an overview of the group's performance and then Anthony will provide commentary on the balance sheet and cash flows.  The divisional managing directors will then provide an overview of performance and outlook for their businesses. And I'll then conclude with the outlook for the group and some comments on recent trading, after which we'd be happy to take your questions.  So starting off on Slide 4. The Wesfarmers corporate objective to deliver a satisfactory return to shareholders over the long term remains our primary focus. And we recognize that we can only achieve this over the long term if we continue to anticipate the needs of our customers, look after our team, treat suppliers fairly and ethically, contribute positively to the communities in which we operate, take care of the environment and act with honesty and integrity. And this last year has provided us with many opportunities to demonstrate our commitment in these areas as set out on Slide 5.  This year's result is testament to the dedication of 114,000 team members across the group who have continued to find new and valuable ways to meet customers' needs and support the community doing it during a time of great disruption. I just wanted to call out a few highlights. So we -- over the last year, we saw a 7.7% improvement in the group's total recordable injury frequency rate.  We saw a 57% increase in online sales as we strengthened our digital capabilities and responded to customer needs. We increased employment by more than 6,000. And of these jobs, over 1,100 additional roles for Aboriginal and Torres Strait Islander team members. We saw an 8.9% reduction in Scope 1 and 2 emissions as the businesses progress towards their net zero ambitions, and the commitment to continue to pay permanent and many casual team members when they were required to isolate or where there was no meaningful work for them as a result of government-mandated lockdowns.  Now turning to the group's results on Slide 6. The group's net profit after tax from continuing operations, excluding significant items, increased 16.2% to $2.4 billion, a result that was underpinned by strong performances in the retail divisions, a solid operating performance in WesCEF and pleasing improvement in industrial and safety. Group revenue increased by 10%, reflecting strong sales growth in Bunnings, Kmart Group and Officeworks. Our directors have determined to pay a fully franked final dividend of $0.90 a share, reflecting the strong earnings result and Wesfarmers' policy of distributing franking credits to shareholders.  In addition to the final dividend, the directors are recommending a $2.3 billion return of capital at $2 per share to ensure a more efficient capital structure for the group, while maintaining balance sheet capacity to take advantage of opportunities that may arise in the future. The capital return is subject to shareholder approval at our AGM in October and, together with the final dividend, would bring the total distributions to shareholders for the year to $3.78 a share.  Turning to Slide 7 and the sales performance of our divisions. As noted, there was strong sales growth in Bunnings, Kmart and Officeworks. In total, the group delivered online sales of $3.3 billion, including the Catch marketplace, growing our position as one of the largest online retailers in Australia. We continue to see our digital operations as complementary to our in-store offer with many customers enjoying this omnichannel experience.  Moving to Slide 8. Each of the divisional managing directors will cover their businesses in more detail, but I'd just like to make a few high-level remarks. You'll see that each division delivered a strong performance for the year. The results of our retail divisions were particularly strong, and it was also great to see the improved performance of industrial and safety.  With these results, it was great to see the continued strength and improvement in return on capital. We're particularly proud of these strong performances knowing that they were delivered in some very challenging circumstances and, importantly, without compromising our focus on the long-term strategic priorities.  Turning to Slide 9. In June, I outlined a set of renewed priorities for the group, which are consistent with our value-adding strategies and will set us up for sustainable long-term growth. Building on our significant group and divisional capabilities in data and digital, progress has now accelerated in the development of a market-leading data and digital ecosystem which will provide more seamless and personal experiences across the Wesfarmers' retail businesses. To support this initiative, we expect an operating expenditure investment of around $100 million over the next 12 months. And a new managing director, Nicole Sheffield, has been appointed to lead these efforts. You will note that this number is slightly higher than we had anticipated. And we mentioned back in June, that really just represents an acceleration of our progress in this area.  Over recent years, we've taken some important steps to reposition the portfolio and will continue to take opportunities to invest in platforms for long-term growth, particularly where we can direct capital to opportunities that leverage the group's unique capabilities and offer the potential to build businesses over time.  And then finally, over the last 18 months, the group has demonstrated remarkable agility and resilience, delivering on improvements at pace, and we'll look to accelerate this going forward.  Slide 10 covers the group performance summary.  I'll now hand over to Anthony who can talk to the group's balance sheet and cash flows.
Anthony Gianotti: Thanks, Rob, and hello, everyone. I'll start on Slide 12, where we've provided a summary of the other business performance. In total, our other businesses and corporate overheads reported a profit of $6 million for the year, which compares to a profit of $76 million in the prior period.  As we noted at the half, the key change has been the reduction and reclassification of the group's shareholding in Coles as an investment following our sale of around 10% of our interest in February and March last year. Our interest in Coles is currently 4.9%, and we now only report earnings associated with dividends paid by Coles, which contributed a total of $40 million to our result for 2021. Corporate overheads were broadly in line with the prior period, with an increase in digital investment, including through the advanced analytics center offsetting lower travel costs and other efficiencies achieved across the corporate office.  Turning to working capital and cash flow on Slide 13. The group recorded operating cash flows of $3.4 billion for the year with divisional cash generation of 90%. As foreshadowed at last year's full year results and again at the half, we expected to see a reversal of the significant working capital benefit that we saw at the start of COVID. During the year, this resulted in the group reporting a working capital outflow of $695 million, which reduced operating cash flow despite the strong divisional earnings growth reported for the year.  The working capital outflow also reflected targeted inventory investments to increase stock weights in some categories and mitigate potential availability issues as a result of ongoing disruptions to international supply chains. While COVID continues to impact the operating environment, we expect to see some volatility in working capital. However, as restrictions are lifted, movements in working capital should normalize over time.  At a group level, cash flows were also impacted by changes in the timing of tax installments, which was significantly higher during the first half due to higher tax payments related to the 2020 financial year. As a result, the group's cash realization ratio finished at 86% for the year.  Turning now to capital expenditure on Slide 14. Gross capital expenditure increased 3.3% to $896 million for the year. This reflected continued investment in data and digital initiatives across the group, the conversion of 86 Target stores to Kmart stores and the purchase of long-lead time items for the construction of the Mount Holland lithium project. Gross CapEx in Bunnings was down compared with the prior year due to lower new store and refurbishment expenditure, which was impacted by the timing of projects.  For the 2022 financial year, we expect net capital expenditure for the group to be between $1 billion and $1.25 billion. This step-up in expected CapEx includes an estimated $350 million to support the development of the Mt Holland lithium project as well as ongoing store network and supply chain activity in the retail businesses and further investment in group-wide data and digital initiatives, including the investment in the group data and digital ecosystem that Rob spoke to earlier.  Turning to balance sheet and debt management on Slide 15. The group's retained a strong balance sheet and recorded a net cash position of $109 million at the end of the financial year. This strong position will allow us to support increased investment across the businesses while also returning a portion of the group's surplus capital to shareholders, which I'll discuss on the following slide.  Despite increased CapEx expectations and the proposed capital return, the group will maintain considerable balance sheet flexibility, which we consider to be prudent in order to provide the capacity to manage a range of potential economic scenarios and to pursue value-accretive transactions as they arise. During the year, we have continued to take opportunities to optimize the maturity profile of our debt and reduce our cost of borrowing.  In June, we issued $1 billion in sustainability-linked bonds, which were the first of their kind in the Australian market. The interest on these bonds is linked to the achievement of targets in relation to renewable electricity use in the retail businesses and the emissions intensity of our ammonium nitrate production at WesCEF.  The pricing of the recent sustainability linked bonds reflected the very strong demand for the group's debt. And with the maturity of our remaining euro bonds in October this year and August next year, we anticipate further opportunities to reset our cost of debt and enhance our long-term funding capacity.  Turning now to dividends and capital return on Slide 16. As Rob mentioned, the Board has determined to pay a fully franked final dividend of $0.90 per share, reflecting the strong profit result for the year. In addition to the final dividend, the Board has also proposed a return of capital of $2 per share, which will be subject to a vote by shareholders at the company's AGM in October. The proposed return of capital would represent a total distribution of almost $2.3 billion and reflects Wesfarmers' commitment to efficient capital management and focus on shareholder returns.  Following the return of capital, the group expects to maintain its existing strong credit ratings with S&P and Moody's and will retain significant headroom against our target credit metrics. Subject to a final ruling from the ATO, it is expected that the distribution will be entirely capital in nature, which means that there will be no immediate tax consequences for most shareholders.  Instead, the return will represent a reduction in the cost base of Wesfarmers' shares. The capital return is not eligible for the dividend investment plan, but the group will again provide shareholders with the option to participate in the plan in relation to the final dividend, and we expect that any shares for the plan will be purchased on market.  And with that, I'll now hand over to Mike Schneider.
Michael Schneider: Thanks, Anthony, and hi, everyone. I'd like to start by expressing my deep thanks to our team and suppliers for their incredible work over the past year. They've delivered for our customers each and every day in a challenging environment. Throughout, they've shown our customers, the community and each other a huge amount of care. Starting on Slide 18 and looking at our overall performance. Operating revenue increased 12.5% to $16.9 billion for the year with earnings before tax increasing 21.3% to $2.2 billion, excluding net property contribution. Disappointingly, our safety measure, TRIFR, went backwards to 11.3. This was driven predominantly by the hard lockdowns in Victoria and New Zealand where our store teams handled an unprecedented volume of online orders. In all other regions, TRIFR improved. We are doubling down on our systems and controls to ensure our safety performance resumes its long-term trend downwards, and team safety and well-being remain our #1 priority.  Turning to Slide 19. Total store sales grew 12.4%, with store-on-store sales growth increasing 11.9%. All major trading regions performed strongly and all product categories grew, led by gardening and outdoor living products, tools and general hardware. Kmart was bolstered by customers spending extended periods at home throughout the year as well as various government stimulus initiatives. In the second half, total store sales increased 0.7% or 25.3% on a 2-year basis. Store sales declined 2.1%.  Consumer sales moderated from mid-March as the business began to cycle the elevated growth in the prior year. We saw continued strong demand from commercial customers in the second half as our focus on our trade business continued to gain traction. Online sales penetration settled at 1.5% in the second half, reflecting fewer COVID-19-related trading restrictions relative to the first half. Return on capital increased from 58% to 82%, reflecting earnings growth, disciplined capital management and a lower average inventory through the middle of the year due to elevated demand.  Turning now to Slide 20. Despite the need to regularly adjust our operations to respond to an ever-changing COVID environment, our team executed strongly against our long-term strategic agenda. We've continued to invest in our team, the customer experience and service as well as digital innovation to drive growth. At a time when many businesses have faced pressure on the cost of goods, we worked hard to maintain our everyday low prices and provide our customers with the best value in the market.  In response to elevated demand, we were pleased to welcome over 10,000 additional team members to the Bunnings family, which we also understand played an important role in supporting the wider economy in challenging times. We further improved the ease of shopping for our customers through display upgrades and installing new showroom experiences in our stores, including kitchen design, bathroom and power garden.  This was complemented in the digital space with further improvements to the Product Finder app, including introducing interactive store maps to help customers speed up their shop. In April, we launched our new retail website in Australia and New Zealand, improving the look, feel and navigation for our customers.  We also continue to strengthen our relationships with commercial customers through expanded product offerings, including a wider range of commercial paints and a supply and install of plasterboard and windows.  Providing greater convenience for our commercial customers was a big focus. we rolled out 24 new trade service areas in the year with more than 100 to be introduced in the year ahead. A record 2.2 million transactions were completed through the PowerPass app over the last 12 months and engagement and usage continues to grow. Our commercial organizations business, which caters to education providers, hospitality, services, government and the rural sector continue to win new customers.  Adelaide Tools helped us cater to more of the products specialist trade customers need. The team opened its new -- first new format store in Parafield, South Australia, which has traded strongly. It's provided us with confidence in the evolution of the format that will be taken into Western Australia in the next few months.  Turning to Slide 21. Bunnings trading performance in the 2022 financial year is expected to moderate following extraordinary growth recorded in the 2021 financial year. The operating environment is challenging with state-based lockdowns, supply chain constraints and price inflation on some materials of products, creating complexity and uncertainty. Recent and current government restrictions have impacted trading and sales declined 4.7% in the first 7 weeks of the 2022 financial year. Pleasingly, sales growth remained strong on a 2-year basis.  In the long term, we remain confident in our strategy and the opportunities ahead for our team and business. We're focused on evolving our home and lifestyle offer in-store and online, deepening relationships with commercial customers, delivering an even better service experience across every customer touch point while maintaining strong cost discipline. We'll continue to accelerate investment in our digital offer by providing retail customers with a more personalized digital experience and introducing a new fully transactable website for commercial customers.  As always, we'll maintain our focus on delivering value and removing unnecessary complexity in the business to support investment in low prices every day for our customers. We opened 1 new Bunnings Warehouse in July. And 6 Bunnings warehouses, 3 smaller format stores and 2 trade centers are currently under construction, with 5 due to complete in the first half of the 2022 financial year.  To finish, I'd again like to thank our team and suppliers who have done a phenomenal job in looking after our customers while keeping each other and the community safe.  I'll now hand over to Ian Bailey.
Ian Bailey: Thanks, Mike, and hi, everyone. This year has been a challenging one for many of our team in Australia, New Zealand, China, Hong Kong, India, Bangladesh and Indonesia. I'm exceptionally proud of how our teams have worked together across countries through various lockdowns and other restrictions to deliver great outcomes for our customers.  At the start of the pandemic, we set ourselves three objectives, which continue to guide us: being there for our customers; keeping our team members, customers and communities safe; and making the right decisions to set our business up for future success.  Overall, Kmart Group was a net beneficiary of strong demand during the year, performing well when stores were open to trade and seeing sales declines when stores were forced to close despite the acceleration in online sales in those times. Our businesses have demonstrated great agility in responding to rapid changes in customer behavior, while at the same time, we completed a significant restructuring of our portfolio to simplify the Target business and accelerate the future growth of Kmart.  Turning to Slide 23. Kmart Group has made good progress in safety with the total recordable injury frequency rate decreasing 28% to 9.2% during the year. Revenue of almost $10 billion was up $765 million or 8.3% for the year, while online sales increased by $660 million to $1.9 billion. Earnings before interest -- sorry, earnings before significant items grew by over $280 million or 69% to $693 million.  Turning now to Slide 24. Given the significant changes to the store portfolio over the last year, we believe that looking at the combined performance of Kmart and Target remains the most helpful way to assess the performance of the business. Collectively, Kmart and Target increased revenue by approximately $600 million, a particularly good result given our ongoing efforts to optimize the Target store network and store closures during lockdowns.  As more customers chose to shop online than ever before, Kmart and Target reported record online penetration of 7.8% and 15.1%, respectively. While this channel is profitable, we have a significant opportunity to optimize our online operations, and we continue to invest in a number of initiatives, including the replatforming of the Kmart website to improve the customer experience.  Kmart and Target combined earnings before significant items grew 80.7% to $739 million. This was achieved through a combination of higher sales, lower clearance costs and an improvement in the cost of doing business following the optimization of the store network and simplification of the Target operating model.  Turning now to Slide 25. The strategic changes announced last year to grow Kmart and create a smaller and simpler target are delivering good results. The conversion of selected Target stores to Kmart is largely complete and the much larger Kmart store network is expected to unlock additional scale efficiencies to underpin future growth.  Kmart remains focused on delivering a great place to shop that is simple to run and better products at even lower prices. It has progressed key strategic initiatives to enhance its customer offer, including digital in-store technology to enable a more efficient operating model and greater stock visibility, initiatives to increase transparency and flexibility in the supply chain and continued development of data and digital assets and capabilities. Target prioritized online growth and continued to improve its product offer.  Turning now to Slide 26. Catch's gross transaction value increased 41% on the prior period. In the second half, gross transaction value moderated as Catch cycled a significant shift to online channels that occurred through the prior corresponding period. As growth moderated, the business focus on proactively managing inventory levels, whilst continuing to focus on transforming and automating the manual processes required to scale the business. This resulted in a higher level of markdowns and a continuation of investments in technology and marketing. Capital investments in the fulfillment continued with additional automation implemented in Melbourne and the announcement of a New South Wales fulfillment center due to open in calendar 2022.  Catch also continued to leverage the broader group with a growing number of Kmart and Target products available on its platform and the extension of Click & Collect across 430 Kmart and Target stores. During the year, we also introduced free shipping to our Club Catch customers and joined the Flybuys programs.  Turning now to Slide 27. Kmart Group is well positioned to deliver sustainable growth over the long term. In Kmart, the focus will be on leveraging our scale and product development capabilities and delivering on our digital initiatives. In Target, we will embed and stabilize a simplified operating model while accelerating online and continuing to differentiate our product offer. In Catch, we will continue to invest in the future potential of the business. Across the Kmart Group, we use our combined assets to deliver incremental value, particularly through developing an enhanced understanding of our customers.  In the near term, though, the trading environment is expected to remain volatile as reflected by the ongoing lockdowns and associated store closures across multiple states. This is reflected in the year-to-date sales performance of Kmart and Target with sales declining 14.3% on the prior corresponding period. When stores cannot trade, revenue declines and much of our store costs remain in place especially as we have made the decision to support our store teams through these difficult times. Once restrictions ease, we anticipate a strong Christmas trading period on the assumption all of our stores can trade without restrictions.  We also expect to experience ongoing disruption in global supply chains. In line with the adjustments made last year, we will carry elevated levels of inventory for core lines to mitigate the risk of potential supply disruptions and ensure our stores are well positioned to trade when they do reopen to customers. We'll remain focused, of course, on being there for our customers and keeping our customers and our team members safe and retaining our focus on building a strong business for the future.  Thank you. And I'll now hand over to Sarah.
Sarah Hunter: Thanks, Ian. I'm pleased to report that Officeworks has continued to deliver strong growth and positive progress against our strategic agenda over the past 12 months despite the extraordinary operating environment. I would like to take this opportunity to recognize and thank the Officeworks team for rising to the many challenges this year with amazing spirit and energy. They continue to inspire me with their resilience, passion, innovation and commitment to keeping Australia working and learning safely and keeping each other safe. Thank you.  Turning to Slide 29. Our continued focus on providing a safe workplace for all of our team members was reflected in our TRIFR improving from 7.9 to 6.1. Officeworks delivered revenue of $3 billion for the year, an increase of 8.7% on the prior year. Earnings increased 7.6% to $212 million, and return on capital increased by 210 basis points to 22.3%.  Moving to Slide 30. Officeworks delivered strong sales growth for the year of 8.6% with ongoing investment in our every channel model, enabling us to adapt and scale quickly to shifts in customer behavior. Online sales penetration, including Click & Collect sales, was approximately 35%.  Despite a strong back-to-school period, sales in the second half declined 3.2% on the previous year as the business cycled strong sales in the prior period when customers were establishing spaces to work and learn from home. On a 2-year basis, growth in the second half remains strong at 24.4%. We delivered earnings growth of 7.6%, which was driven by the strong sales growth, partially offset by some margin pressure from continued investment in price, changes in sales mix and higher supply chain costs due to increased online sales.  Turning to Slide 31, which sets out some of our positive progress against our strategic agenda. The well-being of our team members remains a priority. And we've also made important progress to better represent the communities in which we live and work with indigenous representation increasing to 3.8% of team members and now well exceeding national parity.  We leveraged our data, digital and analytics capabilities and improved the experience for our customers by providing more personalized communication and adapting our ranges to better meet their changing needs.  Our back-to-school offers stores deliver more than 700,000 school list across the country, and we trialed a new bulk school list service classroom essentials. We're continuing to grow our relationships with schools as we look to scale this proposition.  We invested in a new Victorian customer fulfillment center, which is now operational and will be officially opened in the coming weeks. Geeks2U continue to play an important role in complementing the Officeworks technology offer. GeekCover, the newly launched subscription service showed very pleasing growth. And the introduction of contactless and remote options have also been popular with customers. And during the year, we invested in a new online digital platform for Print and Create, creating a platform for partnerships and future growth. For example, last month, we launched an exciting integrated digital design partnership with Canva.  Turning to the outlook on Slide 32. Notwithstanding the solid momentum built throughout the 2021 financial year, the near-term trading outlook remains uncertain. Sales through the first 7 weeks of FY '22 declined 1.5%, driven largely by our performance in Victoria, where growth has been impacted by recent trading restrictions and elevated demand in the prior year when customers were establishing their working and learning spaces at the start of Stage 4 restrictions.  Pleasingly, our growth rate on a 2-year basis remains strong at 31.1%. Ongoing global supply shortages for some products and international shipping disruptions are impacting stock availability in some areas. And we will continue to work in partnership with our suppliers to mitigate the impact to customers.  Officeworks will remain agile and adaptable, recognizing the changing operating environment and changing customer expectations. We are focused on investing in team member health and well-being, data and digital capabilities and the modernization of our supply chain.  We will drive growth through investment in our every channel model and by executing our strategy. And we'll continue to expand our presence in the education sector and seek new ways to support Australians working from home or positioning their small business for growth. There are many opportunities in front of us as we accelerate our strategy in the year ahead. We remain committed to helping make bigger things happen for our team, our customers and our local communities in order to deliver a satisfactory return to shareholders over the long term.  I'll now hand over to Ian.
Ian Hansen: Thanks, Sarah. I'd like to start by acknowledging and thanking all the WesCEF team for their hard work over the last 12 months. WesCEF has achieved a lot throughout the year, and I am very proud of the team. Importantly, through trying circumstances, we've continued to deliver on customer expectations.  Turning to Slide 34. The division achieved a 2.9% increase in revenue over the period. Strong growth in fertilizers revenue, driven by increased sales volumes was a key driver of this result. Earnings for the year were $384 million, which excluding $18 million of one-off insurance proceeds received in FY '20, was up 2.1% on the previous year. The result includes the investment associated with Wesfarmers' 50% interest in Covalent Lithium and the ongoing management of tenements and exploration activities.  Turning to Slide 35. Our continued focus on safety has delivered yet another strong performance in this area, as shown in the chart on the left of the slide. During the year, our total recordable injury frequency rate declined to 3. As shown in the chart on the right, the average plant operating performance remains strong and availability was in line with the prior year. This has been a key focus and is the result of recent investments in both reliability and operability as well as utilizing data and digital capabilities to drive efficiencies.  Turning to Slide 36 to comment on business units. Earnings were down in the ammonia business due to higher ammonia import costs resulting from the rising global ammonia price in the second half and the lag effect on pricing pass-through embedded in customer contracts. The ammonium nitrate business experienced lower spot sales to the West Australian mining sector as well as higher logistics and precious metal catalyst costs. Sodium cyanide earnings were marginally down due to the subdued export demand as a result of ongoing disruption in international gold mines caused by COVID-19.  Energy earnings were up on the prior period. This was driven by higher energy prices, in particular, the Saudi contract price, which is the key international benchmark indicator for LPG, and that was up 7.4% on the prior period. The business also experienced a part year benefit from increased domestic LPG sales volumes following the closure of BP's Kwinana refinery in February 2021.  In fertilizers, earnings were significantly up on the prior period with increased sales volumes reflecting favorable growing conditions. Recent investment in storage infrastructure demonstrated the business' strong operational performance and enabled the business to meet increased market demand.  I'll now comment on the outlook, so please turn to Slide 37. The Chemicals business is likely to benefit from a higher global ammonia price as the benchmark price flows through to customer contracts. The ammonia plant will undergo a 5-yearly maintenance shutdown during the coming financial year, impacting manufactured ammonia volumes.  Ammonium nitrate production and demand from the Western Australian mining sector is expected to remain robust. Sodium cyanide earnings continue to be impacted by reduced demand following ongoing COVID disruptions to international gold mines and modest feedstock pressures.  The Energy business is expected to be adversely impacted by higher Western Australian contracted domestic gas pricing, which will be partially offset by the annualized increase of domestic LPG volumes, following the closure of the BP refinery. The strong 2021 growing season is expected to support positive grower sentiment, but fertilizer earnings remain dependent upon the seasonal conditions in Western Australia during the second half of the financial year and the impact of increasing competitive pressures.  Final critical regulatory approvals for the Mt Holland lithium project were received in July 2021. Covalent has commenced construction works at Mt Holland, items such as the village, water pipeline and aerodrome are well underway. We have secured long lead items for the concentrator and refinery and are working closely with engineering and contractor partners for upcoming tender packages.  Preliminary work to evaluate expansion options for the project will commence in parallel with the construction of the first phase of the project. WesCEF's earnings will continue to be influenced by international commodity prices, currency exchange rates, competitive factors, seasonal weather and harvest outcomes.  Thank you, and I'll now hand over to Tim Bult.
Tim Bult: Thanks, Ian. Before I begin, I would like to commend the hard work by all of the teams in industrial and safety over the past year. We faced some challenging times with the continued disruptive impact that COVID had and is still having on our supply chains.  Our team members have responded to this challenge, and we continue to deliver the reliable supply of products to our customers despite these challenges. This is due entirely to the tremendous efforts of our team members.  Turning to the annual results on Slide 39. Industrial and Safety's revenues grew by 6.3% and earnings grew from $54 million before payroll remediation costs and significant items that were in the 2020 financial year result to $70 million in the 2021 year, a growth of 29.6%. Positively, all of our businesses in Industrial and Safety grew earnings in the year. Safety remains a key priority for us. And pleasingly, our TRIFR declined to 4.3 over the period, and I congratulate our teams on achieving this.  Turning to Slide 40, and in relation to the specific performance of businesses within Industrial and Safety, starting with Blackwoods. Its revenue increased due to growth from strategic customers and more broadly in Western Australia and New Zealand. We saw the continued strong demand for critical products in the first quarter of the year, such as for respiratory cleaning and hygiene products.  Revenues were partly offset by weaknesses in the coal mining and oil and gas sectors. Also, demand for critical products subsided from mid-March 2021 relative to the elevated demand in the prior year period, which was driven by the initial outbreak of COVID-19.  Blackwoods earnings growth was supported by the increased operating efficiencies through scale across the cost base. The business continued to invest in customer service and digital capabilities, including the ERP system.  Turning to Workwear Group. Its revenue and earnings increased on the prior year, primarily driven by strong growth across the industrial workwear brands of King Gee and Hard Yakka. This was partially offset by the sale of Workwear Group's U.K. business in corporate wear and the impact of COVID-19 on the Uniforms business, where some customer segments, including airlines, retail and hospitality were adversely impacted. The business continued to invest in strengthening brand desirability, simplifying its operating model and improving operational efficiency.  In Coregas, its earnings increased on the prior year due to higher demand from industrial customers, particularly in the trade and go and specialty gas offers and from health care customers. This reflects investment in these product offerings in recent years. Coregas also benefited from its involvement in the hydrogen energy supply chain project, a world-first pilot project to ship liquefied hydrogen to Japan. Earnings were partly offset by higher material and delivery costs in the year.  Greencap's earnings increased on the prior year due to the improved performance of the consulting services business and growth in the Online Solutions business. This was partially offset by higher investment in digital capability.  Turning to Slide 41 and the outlook for Industrial and Safety. Market conditions are expected to remain uncertain for the '22 financial year. We will continue to manage COVID-related global supply chain disruptions while maintaining our focus on delivering continued improvements in performance and profitability.  Recent lockdowns have restricted activity for some customers, affecting demand from sectors such as construction, and it clearly relates to New South Wales, Victoria and New Zealand currently. Separately, we continue to see cycling of elevated demand of those critical products in respiratory cleaning and hygiene in 2021 into the current financial year.  Blackwoods will continue to focus on improving its customer value proposition, strengthening its core operational capabilities, including data and digital and completing the implementation of the ERP system. Workwear Group remains focused on driving growth from its industrial brands and Uniform business, improving operational excellence and strengthening its digital offering.  Customer demand in Coregas is expected to remain stable with continued strength in health care and industrial segments offset to some extent by ongoing competitive pressures.  Thank you. I'll now pass back to Rob.
Robert Scott: Thanks a lot, Tim. Moving to Slide 43, and I'll provide an update on trading. Now we wouldn't normally provide such a short-term trading updates, but we appreciate in the current COVID environment, there is a desire from analysts and investors for more information.  As you'd expect, the lockdowns in major cities impacting over half of the Australian population and all of New Zealand are impacting current trading. So on this slide, you'll see that we've shared details of our sales in our retail businesses for the first 7 to 8 weeks of this financial year.  Sales growth remains pleasing on a 2-year basis as is trading in in regions that are not subject to lockdowns. The near-term trading conditions remain uncertain and will ultimately depend on government policy on lockdowns and the effectiveness of community vaccination. We recognize this is a very tough time for many people, and we're therefore extending our commitment to pay all permanent and many casual team members impacted by lockdowns, who are required to isolate or where there is no meaningful work available until at least the end of December this year.  Wesfarmers sees this is an investment that provides much-needed certainty to team members, their families and our businesses in the lead up to Christmas. This investment in our team is expected to require higher payroll costs of around $2 million to $4 million per week, which will obviously impact near-term earnings. We expect the next month to be even tougher for those households and businesses in lockdown. The impact on many small businesses is significant.  Fortunately, there is a clear path out of this as vaccination rates increase. And there is light at the end of the tunnel to progressively restore freedoms and reopen the economy in line with the national plan towards the end of this calendar year. Moving to the outlook on Slide 44. The group's balance -- strong balance sheet and portfolio of market-leading businesses make it well positioned to withstand a range of economic conditions and to invest in new opportunities for the future.  Notwithstanding the near-term uncertainty, we remain focused on our key strategic priorities that will deliver long-term value. The retail businesses will maintain their focus on meeting the changing needs of customers and deliver even greater value, quality and convenience. Given the impact of lockdowns in recent months and the prospect of continued trading restrictions, earnings in the group's retail businesses during the first half of the 2022 financial year may be below the prior corresponding period.  Disruptions to global supply chains are escalating and transport costs are increasing. This may impact stock availability in some categories. However, our businesses are well positioned to manage these risks.  The group will continue to consider climate change risk in the context of key business decisions. And we expect to continue to see the benefits of managing our portfolio with a deep carbon awareness.  Now that brings us to the end of the briefing, and we'd now be happy to take any questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Shaun Cousins from UBS.
Shaun Cousins: Just a question in regards to Kmart. Can you just talk a little bit about maybe for Ian, maybe is Kmart out of winter apparel now and are perishable inventory levels clean? Or do you need to clear that product now? And maybe could you also advise, during lockdowns when stores are closed, how much of those sales you're able to transfer to online, would 50% be possible? Or just any sort of color on that transfer would be much appreciated.
Ian Bailey: Shaun. On winter apparel, I'd say, we've returned probably to a more traditional level of clearance, if I can put it that way. Last year, we had exceeded a good sell-through through this period. So of course, we had less clearance in the mix, and I think we put that out in the result.  So this year, we've gone back to a more traditional level. To be honest, across the states, if you look at WA and Queensland, where there've been less restrictions, we are exiting very pleasingly indeed. And of course, we'd have to take a bit more action in New South Wales and Victoria, but not to an extent, I'd say is concerning and very much at historical levels.  So I feel from that perspective, we're in pretty good shape from a seasonal perspective. And as we called out, we continue to carry higher levels of 365 inventory in the businesses to really make sure we've got good availability as demand gets ebbs and flows.  With regard to online, when our stores are closed, it really depends on the environment. So we have very different setups. At the moment we got three. So if you look at ACT, there is no online. There is no Click & Collect from our stores there. So of course, we end up with very little coming back through the online channel. If you look at New Zealand, New Zealand allows us to service online through home delivery for essential items only. So it's a subset of our range.  So of course, that means, again, relatively small recovery. And then when you get into the states of New South Wales and Victoria, we can do Click & Collect, and we can also do home delivery. And what we see there is that the neighborhood stores can do quite well from a Click & Collect perspective, and we're getting almost 50% of our online sales are coming through Click & Collect. We can get to higher penetrations across Kmart and Target. We can see between 30% or 50% of sales recovered through those stores, but it still leaves us with bigger of course.
Shaun Cousins: Great. And maybe if I could ask a second question, maybe just on Catch. The GTV was down in the second half '21 on the PCP and also down to start the first half '22. I guess given the support, if we think about online and as a structural growth driver and marketplaces to grow faster than that, and there's a lot of investment that you're doing, what are the factors that may be holding back? The Catch GTV growth? I mean is it your range and offer? Is it more competition? Or maybe is that industry growth possibly just not quite as strong to handle all the increased fees in that marketplace area, please?
Ian Bailey: Yes. I think there's a number of factors. I mean part of it is we're still growing massively on a 2-year basis. So whilst I think your call out is correct on the second half, if you look at it on a 2-year period, quite significant. And the business is roughly twice the size it was when we acquired it. So I think part of this is looking through the last half to look at the longer time horizon.  Equally, we would say there's lots of opportunities for us to make improvements in the business, and we're migrating from a deals-based business with the marketplace to a true marketplace business. And so we have opportunities around our product offer, which we continue to work on. We have opportunities in our user experience, and we have opportunities in our delivery times. And as we called out, we're looking to invest in the year ahead in new fulfillment center in New South Wales, so we can help improve that delivery time aspects in the biggest market in Australia.
Operator: Your next question comes from the line of David Errington from the Bank of America.
David Errington: Ian, can I follow up with you on Kmart. I think -- I don't think anyone would mind me saying that you're the star of the show today with the performance that you've delivered. Can you give a bit more color with respect to the buckets of improvement? Because it certainly exceeded my expectations. And on your slide, I think Slide 24, you said sales were up $603 million for Kmart and Target and your EBIT is up 3.30 [ph]. Now you basically said that there's a number of buckets. One, lower clearance costs; two, lower cost of doing business; three, the increase in sales. But can you give us a little bit more color, please?  Because it's such a good result. I think you need to give it a bit more justice as to just what you and your team have been able to achieve this year in being able to deliver such a significantly improved result. So can you give us a little bit more detail of each bucket, the contribution that you've been able to deliver? And then, of course, for us to assess the sustainability of both going forward of the continued improvement that we can expect.
Ian Bailey: Yes. No, I'll give it a go, David. Thanks for the comments and confidence, by the way, the team will be delighted to hear those. So thank you.
David Errington: Well, we've been pretty hard on you in the past, Ian. And I think you've got your fair whack of criticism. So I think a bit of praise today is well and truly deserved.
Ian Bailey: There you go, back down to earth with a bump. The -- I guess a few things. We've -- it's worth remembering last year and particularly the second half last year, where we had a pretty tough time with COVID entering the market. And then, of course, we had the inventory in which the shortages that we experienced in Kmart, which impacted us in the last month of the year in particular.  And we also had a difficult time to target through that year. So the base was not necessarily a strong one. So that's part of the contributing factors. We then undertook the work with restructuring Target and Kmart to make a bigger Kmart and a smaller Target, and that worked well. So we saw the conversions perform really well during the year, so we were very happy with that contribution.  Equally, Target as an underlying business continued to improve. And what we saw there is that we did a really good job on the clearance as we exited those stores. And the stores we continue to trade progressed well, and you can see through the online penetration that, that was strong.  In both businesses, we saw strong margin in the year due to that reduced clearance. Now I think some of that is a feature of the times. So if you're saying well what of this is sustainable, what isn't? I think for many retailers, you'll see that margins have been particularly high in the last 12 months. And of course, they'll return to traditional levels as time passes.  But I think the structural changes that we've made to the business will remain. And so that the bigger Kmart, which we can leverage that, those economies of scale, I think, will help. And we have dramatically simplified Target, which means a lower cost of doing business and a business more focused on online and its physical stores, we've set that business up well to be a profit contributor as we go into the future.  So I think there's a number of factors in there. Hopefully, that gives you a little bit more color as to the performance on the way through.
David Errington: The improvement in EBITDA, is it evenly split across those factors? Or is there one factor more important than the other?
Ian Bailey: It's pretty evenly split across that. I wouldn't say there's one. And there's so many dynamics going on within all the retailers' results at the moment. Even in last year, of course, there's still a lot of lockdowns we had in there that were embedded in there. We've got incremental costs that we're incurring through international freight.  So -- yet, we've still got strong margins. So there's so many dynamics going on. It's -- I think for all of us, which one to unpack and what does all this mean for the future. And as you look forward for the moment, of course, the most dominant feature is our ability to trade stores. And that really is dominating in the short term. But in the medium to long term, I think we've got businesses that are very well set up.
David Errington: And Rob, can I -- my second question, if I could turn it over to you. I've been caught out a little bit on Slide 9, the renewed priorities to support sustainable long-term growth and in particular your digital investment. I didn't understand that it's going to be $100 million investment at a group level.  I can understand it at the divisional level, but I didn't understand it at the group level. So is this going to increase your corporate costs? Or is this CapEx? And I suppose why isn't it being done in the individual division level? Why is there a separate division being broken out? So could you elaborate a little bit on that? Because my understanding, I must say, my knowledge, I'm not quite up to speed on what you're doing there.
Robert Scott: Yes, sure, David. Look, I appreciate we haven't gone into a lot of detail, but we will provide more details on this at the half year, by which time Nicole would have been on board and we would have made a bit more progress and we'll have more that we can talk about there.  But you'll recall, back in June, we talked about $100 million over the next couple of years, and that would be -- there'd be a bit of CapEx and a bit of OpEx. The reason why we're calling out a higher number this year and most of it likely to be OpEx is really because we are looking to accelerate the work that we're doing. A lot of this we see as more capability build and systems investment that will enable what we want to do. So you shouldn't think of it as a recurring cost.  Some of this spend will occur at a divisional level. So as we do some of the technology work on our systems, build the interfaces that are acquired, some of that work will occur within the operating divisions. Now we haven't kind of split out exactly what that will be. One thing I'm really keen to do, David, is I think one of the strengths of Wesfarmers is our corporate office is a lean -- it's a very lean corporate office. We try and keep costs under a lot of control. We don't like the corporate office growing. And the work we're doing around the data ecosystem, it needs to be deeply connected and engaged with our retail businesses working alongside there.  So that's why Nicole and her team will be viewed internally more as another division working collaboratively with our retail divisions rather than being part of the corporate center. So look, there's no certainty we're going to spend all this money this year. Some of it will flow through into the divisional P&Ls. Some of it will flow through corporately. But we just wanted to -- what we didn't want to do is we didn't want to give you a big surprise at the half. We wanted to give you a heads up. This is the direction we're going, and we'll be able to talk about more specifics in February.
Operator: Your next question comes from Michael Simotas from Jefferies.
Michael Simotas: The first one for me, if I could just follow on a little bit more from David's question, please. Just so I understand, are you just accelerating the plans for the spend that you already had with the digital and data ecosystem? Or is there likely to be more spend and we might see this $100 million this year, and there might be a little bit more over the medium term.
Robert Scott: Michael, the reason why we've specifically called out the $100 million is that there's certain things that we want to do from a technology point of view, from a team point of view, from a setup point of view to build capabilities for the future. And we distinguish that from ongoing investment that is required in the ordinary course of business. The reality is that all of our divisions are spending a lot more money in the data and digital space, and that will continue.  And as time goes on, it becomes harder to try and decouple that because it's just very much a cost of doing business. But we just wanted to separately call out the setup costs of these initial costs. As I said earlier, we'll have -- look, I appreciate, we haven't provided any detail on what -- exactly what these costs we'll be investing into. We also haven't provided any details of exactly what we mean by the offer that we're looking to develop. But you'd appreciate that, that's also quite commercially sensitive. But we'll provide more detail of that at the first half results.
Michael Simotas: No, that does help actually. The second question I've got is on Bunnings. And through the second half, you would have had some periods in some markets where it was a reasonably clear trading environment from a COVID perspective. Can you give us any color on what that sort of looked like? Were you starting to see any saturation in any categories? And Look, I'm not talking about year-on-year declines because that will be obvious in some cases. But just relative to the underlying trend on a 2-year basis, were there any categories that were starting to look saturated or was demand pretty consistently strong?
Michael Schneider: Michael, thanks for the question. No, I think the one thing that probably we've been pretty consistent in calling out from a sort of a headwind point of view, has really been access to timber and inside that it's really structural and engineered timber, and that's had effects on commercial. And it's been an industry-wide challenge, which -- there's many root causes, But anything else beyond that at a category level, no we're not seeing anything at all.
Operator: Your next question comes from the line of Grant Saligari from Credit Suisse.
Grant Saligari: Rob, I was intrigued by the comment in the release. You manage the portfolio with deep carbon awareness. And I think Wesfarmers needs to be applauded for its sustainability commitment. I'm just keen to sort of understand if you could put some flesh on the bones on that, any examples or any more detail as to how that objective has sort of influenced portfolio decisions in the recent past or any of the current decision-making, please?
Robert Scott: Shaun, there are various -- and this has been developing over the years. It's not something that has just changed overnight. For many years, we've had -- we've adopted approaches such as adopting a shadow carbon price that we've factored into investment decisions. We've been doing that for many years.  We also are aware that the more positive our work is in lowering energy usage, more effective management of lighting and air conditioning and things like that, there's a real commercial benefit that flows in addition to an emissions reduction benefit.  And then increasingly on the portfolio side, we're also aware that there is a fundamental change going on in the world around decarbonization. And there are some areas where you can invest in new growth opportunities where we have some capabilities and where we think we can generate good returns. And I'm not shying away for a sec from our primary focus is to deliver satisfactory returns to shareholders.  But if you think about some of the portfolio moves we've made, we exited our coal divisions a number of years ago. We're making a significant investment in a lithium project. We're not doing that just because it sounds good from a decarbonization point of view. We're doing it because we think it's really good for shareholders.  There's further work that's going on, certainly, WesCEF business, as we are looking at opportunities to further reduce carbon emissions to position ourselves more favorably with our end customers. The fact that we did a sustainability-linked bond, and we're one of the only groups in the world to really take a real accountability and put emissions intensity out there is a pretty strong signal of our credentials in this space. We also see further opportunities to invest in areas in WesCEF.  So I guess all we're saying, Shaun, is that it's just such an important part of doing business, and it's so important, we think in order for us to keep delivering good returns to our shareholders.
Grant Saligari: Could I ask just a second question just of Ian Hansen. Ian, just on the ammonia rises and fall, could you just clarify whether that applies to both your AN contracts as well as the merchant ammonia contracts? And just given that ammonia prices sort of peaked or still peaking around July, is that likely to be more of a second half than a first half benefit for WesCEF, please?
Ian Hansen: Yes. Thanks for the question. The ammonia price is still peaking. I think the last quarter of last financial year, we saw a 75% increase in the global indicator price relative to the average price in the first 3 quarters. So that's how much the price has moved, and it's still staying high.  In terms of your question about whether it is incorporated in our ammonium nitrate contracts. It depends upon the contract. Some contracts are back to gas and some are back to ammonia. So some have the rise and fall from ammonia and some are aligned with our gas contracts. And I'm not prepared to split out the proportion there. But all of our merchant ammonia sales are based upon import parity pricing.
Grant Saligari: Okay. And given your comments on -- obviously, on the trajectory of ammonia prices is likely to be more second half, I guess, before that rise and fall has effect.
Ian Hansen: Well, it depends how soon they come off. We've generally got a 3- to 4-month lag on pricing. So at this stage, certainly not going to be the first quarter. It might be the second quarter, but most likely looking more at the second half.
Operator: Your next question comes from the line of Keegan Booysen from Jarden.
Keegan Booysen: Can you give some more color on the Bunnings trading update? Just in particular how you're seeing performance by retail. And also trade to the PowerPass program, and if you could give us a bit of color, a bit of sense of what the state-based performance is and the impact of sort of Victoria and New South Wales lockdowns, please.
Michael Schneider: Yes. Look, thanks, Keegan, for the question. I think if you sort of look at the second half of the year just ended first, we certainly saw strong commercial performance throughout, and we did sort of call out the moderation in consumer sales. I think the second half of the F '20, it was sort of growing mid 20%. And obviously, we were comping some pretty big numbers in the second half of F '21. But commercial has remained strong.  We've got quite a significant sort of impact right across the Bunnings network at the moment in terms of stores that have got different trading restrictions. We've just got about 45% of our network is currently trading under online only, which is -- it was 169 stores this morning, but 5 more in ACT have moved across to that in the course of the morning. We've got all of our Victorian stores trading for trade, open for trade but close for retail and online about 45% of our New South Wales stores, 100% of our New Zealand stores.  So you can sort of imagine that there are going to be some significant impact. New Zealand is virtually closed. We've got probably maybe 100 lines that we can provide around essential and emergency repair products for customers. Home and trades can go into a number of hub stores to pick those up. We're processing something like about 40,000 to 45,000 online orders a day across Sydney and Melbourne, which is a real testament to the work that the team in stores are doing and the digital team have done and the success of the replatforming that I talked about in our notes. But yes, it's certainly a challenging period of time across all those jurisdictions at the moment.
Keegan Booysen: That's great. And then just second one for me as well. You mentioned in the outlook that you may see first half retail EBIT down on the first half '21. Given you then provided EBIT guidance for, do you think this could be materially down or that just maybe consensus might be too high?
Michael Schneider: Sorry, I think at this stage, it's way too early. And as Rob said, we'll just need to sort of watch really closely how the half evolves because each jurisdiction that we're operating in has got a different setting and some of those are going to ease up and some of them may tighten up over a period of time. So it's just -- I'd love to have a crystal ball that didn't look cloudy at the moment, but it is really cloudy from where we're sitting.
Robert Scott: Yes, Keegan, Rob here. The comment we made in the outlook was very much around the broader retail -- or the whole retail -- all the retail businesses. And as Mike said, it's too hard to make any forecasts or predictions at the moment. But the obvious -- probably stating the obvious, but the longer that harsh lockdowns continue, the more challenging it will be from a short-term earnings performance. But we're quite -- when we look forward beyond that, we believe our businesses are well positioned.
Operator: Your next question comes from Craig Woolford from MST.
Craig Woolford: First question, just on the -- I'd like to understand the company's online infrastructure and how ready it is for growth. I guess where my question is going. You've got this OpEx that you've called out to accelerate. But what about the IT infrastructure you might need back in the retail store network or retail head office? Any distribution center infrastructure to make online both a good experience for customers as well as being profitable for Wesfarmers?
Robert Scott: Craig, I might just make some high-level remarks and then the retail MDs can talk to it. So each of our retail businesses has -- have their own e-commerce systems and each have gone through a fairly significant investment. There have been some pretty significant replatforming-s. Look, obviously, a business like Officeworks has been on this journey for a very long time. All the work that's going on in the supply chain side also has a view on how do we keep optimizing outcomes for e-commerce as well as the store network. So all of that is progressing, and it's progressing really well from my perspective.  The broader investment around ecosystem, particularly relates to the customer data interfaces and flows, some of the additional functionality and enhancements that we're thinking are going to be important for the future. But ultimately, the core e-commerce capabilities are delivered within the divisions. It might be maybe I think Officeworks capabilities are well known. I think Ian and Mike might want to just make some brief comments on some of the replatforming work that's been going on in the last year or so.
Michael Schneider: Yes. Thanks, Rob. It's Mike here. On the Bunnings replatform, as I said, our new retail platform went live earlier this year in Australia and New Zealand and has done a great job improving. Feel and navigation for customers, that's been really well complemented in the mobile arena with things like the Product Finder app with the interactive maps loaded and for jurisdictions where we want people in and out, we've activated an ability for a timer, so customers get an alert when they've been in store for a certain period of time. So really strongly customer-focused and obviously behind that, the architecture and infrastructure has been well truly overhauled. We're well advanced on our Trade website, fully transactional Trade website.  And as we've talked about for a while, both our team members and our Trade customers can transact on their mobile devices. We had 2 million transactions in the year -- '21 year on the PowerPass app, which is a really good sort of growth trajectory there. So the technology infrastructure is there. We're in a test and learn phase from a fulfillment and distribution point of view. We've got a site going live in North Laverton here in Melbourne to do some testing on sort of fulfilling from a dispatch center.  So really understanding what fulfillment looks like once we get past certain thresholds of online sales penetration within the Bunnings network. And I think when you reflect that -- if you went back to 2018, we couldn't sell anything online. And where we are today, I think we've made enormous steps, not only in terms of technology and infrastructure, but also the quality of the technology and the quality of the team that are driving that. I might hand over to you, Ian.
Ian Bailey: Thanks, Mike. Craig, yes, I'll start off where Mike finished. We've come a long way already. This is a core part of our organization across obviously Kmart and Target equally, and Catch of course is an online player. And we've made a lot of improvements. We're seeing in Kmart and Target Black Friday levels of sales at the moment, and we're handling it well across both businesses, which I think gives a sense of how far we've come.  Investments will continue. So we're halfway through replatforming the Kmart website and the back-end systems. So that's quite a big investment that we're making there, which will give us a better user experience over time and certainly help our ability to continue to scale that online business for Kmart. And from a picking side of the equation, we're getting increasingly good at picking from stores as well as from fulfillment centers. So we see both of those being important to us as we go forward, and we're applying lots of energy from our teams as well as technology to help improve the productivity of those processes.  And we called out, in the case of Catch, another fulfillment center in New South Wales, which we plan to open next year as part of the ongoing deployment of fulfillment centers where we think we can generate adequate returns from them.
Craig Woolford: Great. That's been really helpful. Second question, just on Bunnings trying to step back from lockdowns. I know it's hard to do given how impactful it is for all your businesses. But it looks to me like Bunnings margins, if we could compare pre-AASB figures would be about 140 basis points higher than FY '19 levels. How do you think about margin normalization on an EBIT margin basis? Will margins come down with commercial? Do we expect margins to revert as sales come down the track once economies reopen?
Michael Schneider: Yes, it's a good question. We certainly give it a lot of thought [indiscernible] times before that we're constantly modeling gross margins going down because we're constantly wanting to invest in price and value for customer. That puts healthy pressure on the P&L around cost and cost disciplines in the business. And I think for an ideal pay retailer, that's incredibly important. And we're really clear that we want to see commercial sales grow, but we're not chasing commercial sales at the skinny end of the margin. And for those that are sort of talk with management, you sort of understand that the sort of commercial customers we're going after are the smaller commercial businesses. And they really have characteristics that are more akin to consumer from a product mix point of view.  So I think the sort of way we think about it going forward is that we'll probably see some sort of gross margin compression, but that's really a choice rather than market forces the outcome. Although in saying that, to be fair, it's a pretty challenging time out there.  You're right. It's hard to see past some of the COVID challenges, but shipping is expensive, domestic freight is expensive, air freight is really impacted because there's just not the aircraft coming into the country. So we're in a really competitive market. And at a point in time, that will inevitably, I think, have an impact on price, but we're doing -- sort of keep driving value for customers.
Operator: Your next question comes from Bryan Raymond from JPMorgan.
Bryan Raymond: Mine is also on Bunnings and online. Just interested in your ability to flex that channel up a lot given particularly in Sydney, where you've got -- where restrictions may be a little bit easier than Melbourne. And also, you've got your major competitor still open.  How are you going in terms of executing on turnaround times on Click & Collect? I've heard a bit of anecdotal feedback. It's there's some delays coming through, which would be expected given it's news to you guys. But I'd just be interested to hear how you're going on that and where you can flex that online channel up to given your current infrastructure.
Michael Schneider: Great. It's a great question. Look, I think what we've done in terms of contactless Drive & Collect, Click & Deliver, both really, really strong and certainly well received. On Drive & Collect, we're at 1 day to 1.5 days from order, which is well inside the sort of 48-hour time frame. There's always going to be exceptions absolutely. And I absolutely understand on Click & Deliver, there are challenges because delivery for all retailers is under some degree of pressure, partly because of demand, partly because drivers get stood down because of restrictions and those sorts of things. So that's definitely on our mind.  Our ability to convert our business is unbelievable. Recently Victoria last week, we had two hours notice to go from fully open to 100% online for retail. And the team did an incredible job. So I think the model has been well established. It's well understood. As I said, the investment in the new site has been really, really positive and our ability to continue to expand the range of products that we can provide customers through the sort of plants and paints, some of the more complex product categories when you sort of think about variety of choice has been really, really good. So very comfortable with where it's at.  Just on Sydney, for completeness, we actually made the choice to go all of our greater Sydney metropolitan stores to 100% online for retail and stay open for the trade, not just in the affected LGAs. And we did that understanding that it was helping to reduce movement. We're really confident in the online model. Takes away any temptation for anyone to do the wrong thing and drive from a part of Sydney they shouldn't be driving from into a part where a store might be opened. So we've done that to support the government, make it very consistent from a customer and team communication point of view.
Bryan Raymond: Okay. And then just my second question, just around the step-up in CapEx ex Mt Holland and how much of that is related to online CapEx. You talked a lot about the online investment or digital investment, I should say, from an OpEx perspective that I've got your CapEx stepping up on a net basis from circa $600 million over the past 2 years on average to between $650 million and $900 million ex Mt Holland next year. How much of that is driven by CapEx relating to digital? And how much of that is other investment?
Anthony Gianotti: Yes. Bryan, so happy to answer that question. I think we -- there's no doubt we've called out the increases and not only on data and digital. There's no doubt there's been further investment in data and digital over the last couple of years, and that will accelerate again as Rob talked about, into next year. So that will account for some of the increase. I think we've also called out there will be further investment in both the store network as well as supply chain. So I think it's a combination of those things. I think there's no doubt as a percentage increase, data digital and e-commerce investments is increasing in that number.
Bryan Raymond: Yes. Okay. And should we think of that as like a new level for you guys, if you're saying the midpoint of that range, so $750 million or so ex a very lumpy investment around Mt Holland? Is that -- or should we expect that to come back down over the coming years back to where it's been in recent -- so I'm thinking back towards that $600 million we've seen in the last couple of years.
Anthony Gianotti: Yes. Look, I think it's hard to say. I think what I would say is on data and digital. There is a component that is built. So that will -- there's a component that will come off to some extent as we build that capability and go into more BAU. But there will be other categories. No doubt, I think supply chain is something that we're continuing to invest in over the next few years. So I think it's a bit hard to read beyond next year around what CapEx will be. And of course, as we've called out, ALM and our investment in Covalent will continue over the next 2 to 3 years as well.
Operator: And your final question comes from the line of Ross Curran from Macquarie Group.
Ross Curran: Actually, I want to just ask about what's not in the release. There's no sort of commentary around the API bid or health care, which you talked about briefly as being a new area that you might look to grow into. In light of the capital return, how are you thinking about sort of the ambitions to move the business into the health care space?
Robert Scott: Ross, on the -- so on API, we did make a note in our update that there was essentially nothing to update from the previous market update. So there's nothing to update. We have had some engagement with the company. There's nothing further we have to say on it. There's no certainty that it's going to go ahead but there is dialogue ongoing.  And as we mentioned before, we did note that we have an interest in a number of opportunities in the health well-being sector, API is one of those opportunities. But as we've always said, we don't -- at Wesfarmers, we're very -- although we have an interest in a sector, we will only pursue an investment or an acquisition if we feel it's in the interest of shareholders.  So we don't create a strategy and then go out and make acquisitions for the sake of it. We're very guided by what acquisitions do we think are going to be good for shareholders. So we continue to look at a range of opportunities. Not just in the health care sector, in other sectors as well. And as we've said, we continue to see opportunities to further invest in our businesses as Anthony was noting with respect to our CapEx.
Operator: We've got another question from Tom Kierath from Barrenjoey.
Thomas Kierath: Can I just ask on the $170 million increase in receivables? I think it relates to Bunnings rebates, is that usual? It's kind of seen that being called out? And do the rebates kind of fall as obviously sales come off?
Anthony Gianotti: Yes. Tom, it's Anthony. It's not only rebates. Obviously, rebates were higher given the volume of sales through the year, but it's a combination of things. As Mike also called out -- sorry, commercial sales were higher through the year as well. And so that's a component in the receivables as well as fertilizer sales. So fertilizer sales were significantly up at the end of the year, and that also resulted in higher receivables. So there was a combination of factors that resulted in that number being higher.
Operator: With that, there's no further questions, I might hand the call back to Rob for any concluding remarks.
Robert Scott: Thanks very much, everyone. I appreciate it's a really busy time, particularly on a Friday. So thanks for taking the time with us, and we'll finish up now. If any other questions, please call Simon or the team.
Operator: Ladies and gentlemen, that does conclude today's conference call. Once again, thank you all for participating today, but you may now all disconnect.